Operator: … Abrupt start… …in addition to the ongoing challenges of the pandemic, these last few months have brought forward important cultural conversations around racial and social injustice, harassment and misconduct. We’ve long held equality, inclusion and diversity at the center of our beliefs at Electronic Arts, and as a company, we’ve made our positions clear and demonstrated with our actions that we have a long-term commitment to making a positive impact in our world.  As we’ve shared previously, our business focus continues to be on our key growth drivers: delivering amazing games and content, offering live services that extend and enhance the experience, and connecting more layers across more platforms and ways to play. In our first quarter of FY21, engagement was exceptionally strong across our portfolio. We launched new games, delivered incredible growth in our live services, and welcomed tens of millions of new players into the EA network since the beginning of April. This drove the biggest first quarter in EA history, with net bookings and operating cash flow both setting new records. As a result, we are raising our full-year FY21 net revenue and net bookings guidance today.  We’ve seen tremendous growth over the last four months in our business and across the industry. As EA, we sit at the intersection of two fundamental secular trends that have become increasingly clear. First, social interactions in our world are moving from physical to digital, and second, the consumption of sports and entertainment is moving from linear to interactive.  We’ve seen both of these trends accelerate during the COVID period. Tens of millions of new players have come into our games, and we also have many players returning to our franchises after some time away. In addition to higher engagement from our existing players, these new and returning players are now deeply engaged in our live services, establishing new play patterns and building new friendships in our games. So while there are unknowable aspects to this period of time we are in, and it may be difficult to predict the patterns of new and returning players, we expect these trends to continue during and after the pandemic. We remain committed to continuing to innovate in this space, keeping EA at the forefront of providing social interaction and interactive entertainment to a wide global audience.  I’ll share a few highlights here that capture what our teams delivered for players in Q1. We launched two new games to players during the quarter - Command & Conquer Remastered, which was incredibly well-received by fans and critics and became a top- selling title on Origin and Steam, as well as Burnout Paradise Remastered on the Nintendo Switch. Our teams also delivered over 30 new content updates for our console and PC titles, including two major game expansions, as well as more than 50 updates to our mobile games. All of this, and the continued development of our upcoming titles for FY21 and beyond, was completed with our teams working from home.  Apex Legends continues its momentum as an exceptional live service, building on strong performance through the last several quarters and bringing even more players together in the game. Q1 saw the most game sessions played and highest revenue total since the launch quarter for Apex, and engagement in Season 5 reached the highest levels since our first new season of content. Creative in-game events continue to be a huge draw for our Apex community, and the most recent event, Lost Treasures, had more than 96 million hours played in the first two weeks. We’re bringing Apex to players on the Switch and Steam, and we’re excited to introduce cross-play later this year so more players can engage and play together with their friends.  The world has an insatiable appetite for sports, and for the experiences that EA SPORTS delivers in our games. With real world sports disrupted, EA SPORTS has become the center of the emotional connection to sports, and we’ve brought millions of new, returning and existing players into their own personal sports stories through our games. Player acquisition of new and returning players in FIFA grew more than 100% year-over-year in Q1, with more than 7 million joining during the quarter. These are now among our most engaged groups of players, demonstrating commitment and longevity in our FIFA live service. FIFA in Asia grew significantly year-over-year in Q1 as well, with FIFA Online 4 now engaging nearly 30 million players to date. Madden NFL 20 also had an incredible Q1, building on what is already the biggest year ever for our Madden franchise. Player acquisition in Madden NFL grew nearly 140% year over year in Q1, and virtually every measure of Madden Ultimate Team engagement is up more than double over last year.  The Sims continues to resonate with more players around the world. The Sims 4 now has more than 30 million players life-to-date across all platforms, and daily, weekly and monthly active player totals in the game all reached record highs for a first quarter. Our Sims mobile games had an excellent Q1 as well. The creative and inclusive nature of The Sims experience on any device is truly unique in all of gaming, and we’re especially proud of the way it helps players find community and express themselves during culturally challenging times.  During Q1, we also launched nearly 30 titles on the Steam platform. Bringing our games to Steam enables us to substantially grow our PC audience. Our Origin business grew 75% year-over-year as well, and by opening up the ability for Steam and Origin players to play together, we’re now positioned to harness the full power of the PC community. Bringing titles to Steam is also foundational to our EA subscription service that will go live on the platform later this summer. In addition, the total number of players in our subscriptions on Origin, Xbox One and PS4 grew quarter over quarter, with new players coming into our services to experience more great games.  It was an unprecedented first quarter of growth. Looking forward, we’re also seeing strong engagement in Q2. Although it is difficult to predict ongoing levels of growth in this environment, we have grown our player base during this period and added value to our network.  Our EA SPORTS live services are acting as social networks for sports fans around the world and the strength of those connections will grow as real sports seasons return. Players in our communities for The Sims, Apex, Star Wars and more are building relationships through our games, and we expect them to be with us for a long time to come.  Building on this strength, we have exciting new titles and content coming in Q2 and beyond, including Rocket Arena which we just launched with Final Strike Games. We showcased many of these new experiences in our EA Play Live broadcast in June, where our audience grew significantly year-over-year, and the trailers and videos that we debuted have been watched more than 31 million times.  We will begin launching our new EA SPORTS games starting in August. Nowhere else in the world can sports fans find the breadth and depth of interactive experiences like the ones in our EA SPORTS portfolio this year? With UFC 4 launching on August 14, we’ve got something for every fight fan - an amazing roster of fighters, tremendous customization, brand new environments, and more fluid gameplay -- all making this the most authentic MMA game we’ve ever created. Madden NFL 21 is then set to launch on August 28. On top of major gameplay innovation, a new campaign mode, and more of the Superstar X-Factor abilities that fans love, we’re bringing creative and innovative new ways to play Madden that build on the strength of our NFL partnership. We have more people than ever before playing and connecting through FIFA, and when FIFA 21 launches on October 9, the world’s leading football experience will expand with more ways to play with friends. VOLTA SQUADS and FUT Co-Op will bring new social dimensions to the game, and we’re also delivering the most comprehensive update to Career Mode that we’ve ever released. NHL 21 launches October 16, and we’re excited about the great work from our NHL team this year, which we’ll share more about soon. Then in the holiday season, EA SPORTS will also lead the way on the new PlayStation 5 and Xbox Series X. Next-generation versions of FIFA 21 and Madden NFL 21 will bring the next level of innovation and interactive sports experiences to fans with the launch of the new consoles. This will be a great year of new games and content for sports fans around the world.  With our cloud-based broadcasting platform for esports operating at global scale, we delivered 85% more esports broadcast content in the last four months than we did in all of calendar year 2019. Demand for our FIFA, Apex Legends and Madden esports content across major networks is unprecedented, and the great entertainment we are providing is bringing more players and viewers into new experiences with our games. We’re now significantly expanding and diversifying our content for the rest of this year. Our plans are to deliver three times as many broadcasted events in FY21 over last year, spanning linear and digital broadcasts, with more athlete, celebrity and fan competitions, in addition to global esports ecosystems for Apex Legends, FIFA and Madden. We also just launched The Sims Spark’d on TBS and Buzzfeed, our first-ever reality competition TV show. Seamlessly integrating entertaining player stories and gameplay, alongside weekly challenges for Sims 4 players, it’s an entirely new and unique way to create competition. It shows the innovation we can bring to the esports space with our franchises, and we’re very excited by the fan reaction to date.  We’re also very pleased with the response to our new Star Wars: Squadrons game from Motive Studios set to launch on October 2. This is going to be the game for anyone that’s ever had the fantasy of piloting a Star Wars starfighter, with a deep level of immersion built by our teams in collaboration with Disney & Lucasfilm. We’re excited to add another all-new experience to the portfolio of amazing Star Wars titles we’ve delivered to fans, especially one that opens up new dimensions like full VR support and cross-play.  Our business is strong and it’s been an amazing start to the year. These are challenging times amidst the pandemic, and we are deeply appreciative of all that our teams are doing to continually innovate and deliver for our players – and push the boundaries of interactive entertainment every step of the way – even while working from home. We also have to thank all of our players for their support and for playing our games. We’re humbled to see so many using our games and our network as a way to connect with their friends and families during this time.  There is much more to come from us at Electronic Arts in FY21. Now I’ll hand the call over to Blake. 
Blake Jorgensen: Thanks, Andrew. We saw extraordinary levels of player engagement through the first quarter, far higher even than the unprecedented levels we had forecast in May. And it proved more resilient than we had expected. Engagement was broad-based, with net bookings for live services at extraordinary levels for FIFA, Madden, Apex Legends, the Sims and our mobile titles. And, with increased sales of our games across the breadth of our entire catalog, we connected more people to the games they want and to each other.  All this was reflected in our results, with record Q1 highs in net revenue, net bookings, live services and cash flow.  I’ll report the specifics of our results on a GAAP basis, and then use our operational measure of net bookings to discuss the dynamics of our business.  Before I get to the numbers, let me remind everyone of the three reporting changes we implemented this quarter and discussed in our last quarter call. First, we now present GAAP net revenue in the income statement as one item, rather than as product and service. Second, we report mobile bookings gross of platform fees, instead of net. And finally, we updated the presentation of net bookings by composition to focus on full game and live services sales. Our historical results have been recast for comparability.  EA’s net revenue was $1.46 billion, compared to $1.21 billion a year ago and above our guidance by $239 million. Operating expenses were $700 million, compared to $607 million a year ago. This was above our expectations, driven by variable compensation due to our strong performance in the quarter, as well as COVID-related costs and lower attrition. Operating income was $471 million, compared to $415 million a year ago and above our expectations. Diluted earnings per share were $1.25 and were well above our expectations of $0.93, driven by the top line beat.  Operating cash flow for the quarter was $378 million, up $220 million from last year. Capital expenditures for the quarter were $38 million, resulting in a free cash flow of $340 million. Operating cash flow for the last twelve months was $2.02 billion, a new record. See our earnings slides for further cash flow information.  Our cash and short-term investments at the end of the quarter were $5.96 billion, up 15% year-on-year.  Now, I’d like to turn to the key drivers of our business this quarter.  Net bookings for the quarter were $1.39 billion, up $608 million from the prior year, and $390 million above our guidance, driven by strength across the board, with strong performance from our core franchises and live services. The currency headwind net of hedges was $42 million year-on-year.  Live services & other net bookings were $1.103 billion, up $416 million from the prior year. This extraordinary result is a consequence of the years of work we’ve invested in building teams, processes and content for our titles, which delivered strength across our portfolio.  FIFA, Madden, Apex Legends, and The Sims all grew very strongly. Ultimate Team was up 70% on a like-for-like basis, adjusting for the timing of Ultimate Team events, for the extra week in the quarter, and for currency. With Lost Treasures, Apex Legends presented players its most engaging event ever, and delivered its biggest season since launch. And, as Andrew mentioned, The Sims 4 exceeded 30 million users, life to date, and Q1 net bookings more than doubled year-on-year. Mobile was up 32%, with success across our portfolio led by Star Wars Galaxy of Heroes, which had its best quarter since 2018. The game has now generated over $1 billion in lifetime bookings. FIFA Mobile, SimCity, The Sims Free Play and more all showed growth of a similar magnitude.  Full game net bookings were $287 million, up $192 million from the prior year. 52% of our unit sales are now digital rather than physical, measured on Xbox One and PlayStation 4 over the last twelve months. Net bookings for packaged goods and for full-game digital download both almost tripled. This was primarily driven by our deep catalog.  A brief note on financial reporting before going on to guidance. People are playing our games for longer as a result of the amazing content provided by our live services teams and the social connections they make within our games. So for GAAP reporting, we’re increasing the period of time over which we recognize a portion of our net revenue. This begins in second quarter, only affects GAAP revenue, and only affects the timing of recognition, not total net revenue. We estimate that it will move the recognition of approximately $300 million in GAAP net revenue from fiscal 2021 into fiscal 2022. It does not affect net bookings or operating cash flow.  Now, turning to guidance: due to the significant outperformance during the quarter, we are increasing both our net revenue and net bookings guidance for the full year.  In doing so, we had to balance the significant boost we saw in Q1 and the confidence we have in our games and live services against the unknowable macroeconomic environment for the rest of the fiscal year. We are taking a cautious view that assumes that we continue to see a modest tailwind to engagement, driven in part by continued shelter-in-place orders. This is offset by a weaker economy and by the slightly later sports launches.  There are reasons for optimism - for example, we’ve added tens of millions of players to the EA Player Network since the beginning of April. FIFA alone attracted 7 million new on console during the last quarter, and more people are playing FIFA now than at this time than in any previous cycle. This is significant, in that people that have played the game recently are more likely to buy the new one. New players are building networks of friends in our games as they play. Engagement in FIFA and Madden continue to be massively above where we would normally expect them to be. Nevertheless, we haven’t launched a major title since the pandemic struck, so it’s too early to draw general conclusions.  Our business is strong and our games are on track. Hopefully, our base case around the uncertain economy will prove to be too cautious.  Thus, our expectation for full-year GAAP revenue is now $5.625 billion, cost of revenue to be $1.483 billion, and earnings per share of $2.97. We are raising our operating cash flow guidance by $275 million to $1.85 billion. We continue to anticipate capital expenditures of around $125 million, which would deliver free cash flow of about $1.725 billion.  A note on OpEx before moving onto the business drivers. The increase from our prior guidance is mainly driven by variable compensation plus higher-than-expected headcount, due to lower turnover during this difficult period. We’re continuing to invest in our growth drivers, and, in particular, we are increasing the number of mobile titles in development.  We now expect net bookings for the year to be $5.950 billion, $400 million above our prior guidance. Versus last year, this factors in an FX headwind of about $100 million. And, as you build your model, note that we are also forecasting a fall in interest income of about $80 million compared to last year.  For the second quarter, we now expect GAAP net revenue of $1.125 billion, cost of revenue to be $280 million, and operating expenses of $755 million. This results in earnings per share of $0.21 for the second quarter.  We anticipate net bookings for the second quarter to be $875 million. The significant year-on-year variance is driven by the move of FIFA 21 from Q2 to Q3, and by the later launch of Madden NFL in Q2 which we've previously announced. The change in mix for Q2 weighs on gross margin for the quarter. Madden stays in Q2, but has less live services opportunity than in prior years by virtue of starting later, and FIFA moves to the beginning of Q3. With regards to live services, remember also that we focus on engagement ahead of new product launches, so expect lower bookings at that point of the cycle. See the phasing we provide in our quarterly presentation on our IR website. You’ll see that the smaller Q2 is more than offset by a much larger Q3, and a slightly larger Q4.  As we approach six months working from home, we are finding ways to continue to deliver great games and services. We’re excited to showcase the incredible efforts of our Madden and FIFA teams through the upcoming launches, and by the work of all of our live services teams. The shelter-in-place orders have so far been a strong tailwind for the business, as players look for safe and social entertainment in these difficult times. A macroeconomic headwind in the second half seems very likely. Nevertheless, our ability to deliver high quality AAA and indie titles for our players, combined with the incredible success of our ongoing live services and increasing reach across platforms and geographies enables us to continue to deliver for players and investors.  Now, I’ll turn the call back to Andrew. 
Andrew Wilson: Thanks, Blake. These past few months have been unlike anything we’ve ever experienced. It was an extraordinary quarter for games and for Electronic Arts.  Our business is strong. We’ve just had the largest first quarter in the history of the company, with tremendous engagement from existing, new and returning players. We are well positioned to build on that strength. We will continue to deliver more amazing games and content, including new EA SPORTS titles, more groundbreaking and fun esports content, Star Wars: Squadrons launching in October, and more. We’ll continue to extend and enhance the experiences in our live services on all platforms, from console to PC to mobile. And our focus on connecting more players across more platforms will continue, as we bring our subscription to Steam, integrate our games with Stadia, expand support for cross-play, and reach more platforms with our games – including the next-gen consoles coming later this year.  It’s also increasingly apparent that COVID-19 could be with us for some time. Keeping all of our teams safe is our first priority. They are the true strength of Electronic Arts, and their commitment and courage during the challenges of recent months has been deeply inspiring. Not only have they continued to develop and launch games from home. Our employees have supported nearly 1,000 different charities in the last three months, including tens of thousands of hours of volunteer time. Their contributions to COVID relief efforts and racial justice organizations, along with matching funds and additional contributions from EA, have totaled more than $3 million to date. In this environment, supporting our teams, building our culture, and striving to amplify the positive impacts of play in our communities around the world has never been more important.  We look forward to sharing more updates with you in the quarters ahead. Be well and stay healthy, everyone.  Now Blake and I are here for your questions. 
Operator: [Operator Instructions] Your first question comes from the line of Mario Lu with Barclays.
MarioLu: Great. Thanks for taking the question. One on FIFA and then one at Star Wars. So the first one on FIFA with it releasing now in fiscal 3Q, although it was previously announced this shift does drive fiscal 2Q guidance to come in below the street. So can you help quantify how much of the shift this caused in terms of bookings? Any other dynamics to keep in mind going forward and should we expect FIFA-22 to now be back in the normal fiscal two release quarter?
BlakeJorgensen: Yes. It's a good question and I appreciate you asking, the entire delta is FIFA nothing else is going on. We've tried to be pretty clear about that. I don't think people have necessarily heard that but that's the entire delta. We've also not changed the back half of the year guidance down. So you should assume we are planning on, we will make up anything we might have missed during the quarter or the two quarters. The other thing I would just want to remind people is that it's all event ultimate teams all event driven that means that there may be some events that roll into next year, which actually strengthen next year, as well as this year. We made a simple decision which is we wanted to give both the FIFA and Madden team a couple extra weeks to final in what is been the most difficult situation we've ever lived through, which is building games from home. We are incredibly impressed with what they've been able to do and how they've been able to innovate the game within this context. And so our view is the hope is that most investors aren't focused on each quarter. They're focused on the full year. We just raised guidance by $400 million and I remind people in the history of both Andrew and I running the company. We have only raised guidance in the first quarter once. So you guys all know our conservative approach and how we're always cautious. We also mentioned today that we know there is and if anyone out there thinks there's not economic risk in the back half of the year, I'd like to know that but we all know there's economic risk. And so I think I would take our raising of guidance and not lowering guidance in the back half of the year even after moving FIFA and Madden is a pretty positive signal. And I think Andrew and I both mentioned in the call the other thing which was we are continuing to see engagement and monetization levels higher than we've normally seen during where we currently are in the second quarter. And I'm not telling you that that's going to change the second quarter or we would have changed guidance because we just don't know yet. But remember the unbelievably high monetization we saw in Q1 does not drop off a cliff; it will slowly decline as we all go back to a normal life. But if you ask many of us that might be six months, nine months or two years and what we also mentioned which I think is the most important component is as people rejoin or join as a new member of the social network around the game, they tend not to leave and so this should ultimately long-term benefit our business. And it's just the problem for us is we've never lived through this before and none of us have you guys haven't either. So we don't have a roadmap to be able to help us be able to predict exactly what it's going to look like. And so we're trying to be -- we're trying to be transparent. We're trying to be straightforward and we're trying to be optimistic because we are optimistic but we're also trying to be realistic that we know that there's economic strains out there around the world that could ultimately come back to impact our business or anybody's business. So sorry to go on about the question, but I think we want to try to make sure we're -- people are understanding that it's both FIFA and Madden and FIFA ultimate team that are moving but other than that we're not signaling anything else other than we made a decision and we made it some time ago because we announced it some time ago. So we wanted to give the teams a few extra weeks to make sure that the product was exceptional when it came out the door and we're confident that that's where it's going to be.  Now your second question, sorry I went on too long on the first question. So I forgot your second question.
MarioLu: That's great. I haven't asked the second one yet. That's very helpful, Blake. So the second one is on Star Wars. Can you provide some color behind the decision process regarding pricing squadrons at $40 with no additional MTX? So I do think all games are not created equal, so overall I'm surprised how the standard has been for $60 video games in the last years 15. So why go $40 all in and not free to play or just in general what are your thoughts on potentially pricing next gen titles at a higher price point of $70 instead of $60.
BlakeJorgensen: Yes and I'll have Andrew just sort of help out on this as well because it's important here for both of us. I mean we always look at the top -- the games and we want to make sure we are providing the greatest value for our players. And games all have different scales and most of our games right now have huge scale. We designed this game to really focus on what we heard from consumers, which is one of their greatest fantasies and that's to be able to fly ex wing fighter, fly fighter and be in a dog fight and so it doesn't have the breath of some of our games but it is still an incredible game and so that's why we chose to price it at a slightly lower level to also allow access to as many people as possible who had that Star Wars fantasy. I'll let Andrew jump in and talk about how we view pricing long term. But I think you've seen us over the years differentiate pricing on lots of games. We've differentiated pricing on things like Plants versus Zombies games because we knew that they were skewed to younger audiences for example or maybe didn't have the depth of all of the game modes that you might see in an ultimate or a FIFA or Madden. Andrew you want to add to that.
AndrewWilson: Yes. I would start with what are the player motivations we're trying to fulfill. And what are the expectations of those player groups in fulfillment of those motivations. And I think that we start there long before we ever get to price point. And as you've seen from us we have games across the spectrum of pricing whether that's free to play or at $60 or $60 with an additional live service or as part of our subscription offerings. And at the end of the day as we think about it we start with a player, we start with the motivations and expectations they have and we build out the game. In this case, this is a very deep and immersive game and that $40 felt like the right price point given the breadth of the game, very proud of what we are doing. We wanted it to be a wholly self-contained experience that was deeply immersive in that fantasy. As we think about pricing more broadly, I would come back to that position which is we start with what are the player motivations we're trying to fulfill? What are the expectations that players have around depth and breadth and live service in any given experience? And we build from there as we think about this year you've seen what we've done is we've announced that we will offer the ability for players to transition free of charge from existing generation of console titles to the next generation of console titles for FIFA and Madden. We did that and we set out to build this the best PlayStation Xbox one experience as we could, as well as the most innovative and creative experiences for Xbox Series X and PlayStation 5ve and what we wanted for our players this year because what they asked for was the smoothest possible transition that meant that they could jump into the game when it launched on existing platforms and then move into the next platform as it made sense for them later on in the year. And that has been our focus this year. And we will continue to kind of look at this over time.
Operator: Your next question comes from the line of Todd Juenger with Sanford Bernstein.
ToddJuenger: Thank you so much. And glad to hear everybody is relatively well. Can I ask if you don't mind just thinking through the changes and release dates on the sports titles, I know that was probably a production driven decision but when we're looking at the real live physical sports leagues around the world especially in the states obviously there's a lot of uncertainty about the timing and shape of their seasons this year and next. And just wondering how that maps to the release of your games and the events and the live services and how much it matters. For instance, if there was no NFL season in the fall or if it had to be stopped it in halfway through, how does that matter to your games? How should we think about that? I know it's a sort of a broad hypothetical but there's so much uncertainty there. So I guess the underlying question is how much does whatever happens those live sports affect. How we should think about and expect people to engage with and spend money in your games. And I have a follow-up. Thanks.
BlakeJorgensen: Go ahead Andrew.
AndrewWilson: So I would just -- I would start with kind of two things. One is my sense is that we will have sports of some shape or form in the real world over time. The second thing is regardless of whether we do or we don't sports fans have an insatiable appetite for sports day in day out, week in week out, month and month out. And what you heard us talk about in the prepared remarks and what you have seen in Q1 is we've been able to fulfill that insatiable appetite for sports with our games. And there's really -- when we think about our sports games, we think about it on two vectors. One is the connection, the emotional connection, the real world of sports and all that's happening with the players and teams and leagues that you love. The other is we provide you a tool set that features those players teams and leagues that you love, but allows you to tell your own personal sport stories. And what you saw from us this past quarter is we really leaned into that and we actually augmented that some. So while we provided opportunities and events so that you might tell your own personal sports stories with your friends and your rivals, we also dropped in about additional esports content, celebrity content and esports and celebrity competitions. And what we've seen is that we've been able to uphold and fulfill the motivations of sports fans and the needs of sports fans and allow them to remain connected to the sports they love. And I would tell you I think that we are comfortable doing that for as long as it needs to. And then to the extent those sports come back online. We believe that's a further accelerator to our business.
BlakeJorgensen: Yes and what I said in the remarks was ultimate team in the quarter was up 70%. I don't think we've ever seen a growth like that and as part of that we know for example Madden ultimate team was up over 300% and there was no sports, live sports going on at any point in time during that quarter. And I think Andrew made the point and I would just stress this as when people are sports fans, remember their sports fans connected to a social network. No one plays a fantasy sport game alone. No one plays ultimate team alone. They play with each other and that means that it builds off of the social network more than anything else. And so in the absence of sports people double down and are excited. And so while we always want live sports to go on because it helps feed the engagement and excitement around the business. We also know sports fans are not going to stop being sports fans, if the underlying sport stops. And I think the first quarter proves that better than anything we've ever seen. And so we hope sports is back because we all love sports and we want to engage in it. I'd prefer not to watch sports with an empty stadium but at the end of the day it's better than no sports at all. And our games allow people that continued engagement with something that they really love. And sports right I mean you might ask, well, if there's no Star Wars content in the next six months because movie studios are shut down or TV studios are shut down, does that hurt your business? No, it goes just the opposite which is if you're a Star Wars fan you want to find every single opportunity to engage in Star Wars and that's why we saw the growth of Star Wars Jedi fallen order. Growth of our Star Wars online business and continued growth of the catalogue of Battlefront one and Battlefront two during the quarter. It's when you are Star Wars fan, you want Star Wars and you got to get it somewhere. So that's why we keep coming back to this is an incredible opportunity for us, but at the same time we also understand that we don't we can't predict the future and so we're always careful of trying to predict the future. But we do see a huge opportunity. 
ToddJuenger: Thank you both for that. If you don't mind just one follow-up, somebody's got to ask the M&A question maybe I'll go this quarter and just it seems more ripe than ever given your cash balance and the cash generation and the price the value of your currency. There's at least one big asset we know of that is believed to be in the market, just wondering your disposition toward the thought and the appeal of acquisition. How you are thinking through that decision given where the industry sits right now and anything you share in that thanks?
BlakeJorgensen: I mean what I would say there is it is very rare that we don't get a chance to look at anything that's up for sale. I mean you can imagine people call us and say we're thinking about selling a business or we're thinking about selling ourselves. I mean we are a place that a lot of people want to come as a long-term home if they decide to sell the business. So we get to look at almost everything. I can't comment on any specific acquisition other than what I will tell you as we said you've seen in the past where we've done the best is where we have long-term relationships with people. And we're really trying to buy great talent versus games. And I think Respawn is a classic example of that we were able to bring them into the fold, give them incredible support and it was all driven by the fact that they had incredible talent. It wasn't about Titan fall and that's no offense to Titan fall, it's an amazing game and we'll maybe see a Titan fall at some point sometime down the road, but it was really about the team and it starts at the top with Vince but it goes all the way through the whole organization. So we're always looking at that. We'll always continue to look at that. We would hope we can find more. Our hope was is that some of the challenges in our broad world economy would actually make people think and understand that being sub-scale is difficult, but at the same time as you've seen from our results. I think everybody's going to do well in the next couple of quarters in our industry. And so it might take some time but trust that we are more interested than ever because we see talent and building great new franchises is critical to the long-term growth for business.
Operator: The next question comes from the line of Ryan Gee with Bank of America.
RyanGee: Good afternoon. Thanks for taking the questions. So I believe I heard you guys said ultimate team was up 70% year-over-year. I believe that's revenue. Can you remind us what that growth rate looked like going into shelter in place and here we are end of July? How it looks kind of quarter-to- date? And then I have a follow up.
BlakeJorgensen: Yes. I mean I don't know off of the top of my head remember, but I think we were bouncing between high single digits and low double digits maybe mid double digits like between 15% and 20%. I mean we were having a strong ultimate team quarter. If you go to the fourth quarter, if you go back and look at the transcript you could probably see it. I just don't have it in front of me. But I mean this is -- this is off the charts different right. I mean it is exceptional and particularly for games like -- for games like Madden where normally the soft spot in a game like that where we really come out of the Super Bowl and there's only a few places where you can kind of continue to drive engagement around things like the draft and the combine and you would expect this year maybe because many of those things were not done in person that might have hurt ultimate teams. But remember, the team a couple years ago started working on changing and adding new modes to the game and improving, and it really came to play in the past year.  So we were seeing super strength in both Madden base game and Madden Ultimate team coming into the quarter. And it just continued to get stronger and stronger. I think the other thing is that all the ultimate team stepped up to think about what new events could they run in a world of stay at home or work from home or whatever it might be. And so they doubled down on social and really drove opportunities in a world in which there were no sports, but as I said in the last question, sports fans were looking for their sports excitement and fix essentially to be able to play. And so you saw that in our esports calendar as Andrew mentioned, we completely doubled down in esports even though we had to do it all from a virtual broadcasting facility versus our own broadcasting facility. And our team did an amazing job of creating some incredible content and I'll just give you a personal example. When I see my wife watching a Madden esports tournament and cheering on TV, I know because she's a massive sports fan; I know we've hit the right tone with consumers. We're delivering for consumers what they want. So what we've seen so far as I mentioned on the call earlier, we saw this peak of massive engagement in the April -May time frame and that slowly declined as some people have gone back to work or to their offices, but it is still well above what we've normally seen particularly at this time of the year, which is the slowest time as we move from one sports season to the next. And I can't tell you how that's going to look for the rest of the quarter or for the rest of the year, but remember we know we've got a lot of new people into the game; a lot of people are engaging in ultimate team in the sports franchises. And we don't think that shuts off overnight and maybe never shuts off. And we hope that will give us longer term growth. But that'll ultimately be a question when we start talking about next year's guidance and all those things that we normally do. But don't take our conservatism in any way on guidance going forward as saying anything about the games. And about engagement, it's all about the economy at the end of the day. And you guys tell me, you saw the GDP numbers this morning. Are you confident the economy is going to be strong for the next 6 or 12 months? I just don't know. That's the thing that weighs on us the most. And yet at the same time, we know that the engagement in our games has never been higher, to see The Sims up 110% year-over-year. I mean that's driven by a lot of new people elapsed players coming into The Sims and we know with The Sims, remember, it's grown every year for the last six years. That means that people who come in don't churn out. They get engaged and then they continue to engage in all the content that's been produced and the new content. And that's where we get pretty excited. So sorry a bigger answer to your question than you probably wanted, but we're, we, I want to make sure everyone understands. We are prudent. We are conservative as you guys all know and yet at the same time we are unbelievably optimistic about the business even though we got here via a really difficult time around the world.
RyanGee: No. That saves me from asking several questions and then getting a hard time for asking too many. So maybe I'll just finish with one question on FIFA. So the 7 million players that you guys added sequentially coming into FIFA can you shed some light on who these players are? Are they kind of casual fringe players just looking for something to fill time not spending not converting? Or are they the ones that you've seen payer conversion, ARPU in line with your legacy hardcore players that have been in there basically since FY11 playing FIFA ultimate team? Anything you can say about the new players you're reactivated.
BlakeJorgensen: Yes. It's hard to say and Andrew you can add to this. It's just early right. So you want to see a pattern over time but Andrew go ahead and jump in.
AndrewWilson: Yes. I would say and you heard a little bit of my prepared remarks, but it is early so this 7 million is made up of lots plays, players haven't been with it for a few years and some completely new players. What I would tell you is while it is early and it is a little bit difficult to predict future behavior on these cohorts at this juncture. They are performing like some of our strongest and most engaged groups in the game. And I think that's testament to the fact that this game does facilitate this connection to friends in connection with the sport and the live service that sits within that game is now so intrinsic to the experience. And a big part of the joy that players get. And what the teams have done through this last quarter is spectacular in terms of their ability to entertain existing players, lapsed returning players and the new players. And we're seeing those groups come together and perform in the same way that our traditionally very highly engaged strong player groups have. So we're at to Blake's point, it's early. It's not easy to predict but the early signs are very strong. And we're very optimistic about what this means for the FIFA community long term.
Operator: The next question -- he's already in queue. Mr. Michael Ng.
MichaelNg: Hey. Thank you very much for the question. I just have two. The first is I was wondering if you could just expand on your capital allocation plans which you put on pause at least with the buyback last quarter. Do you have plans to authorize a new buyback? And then the second question is could you talk a little bit about how the 7 million additional players that you added sequentially on FIFA informs your expectation for FIFA -21unit sales this year? Is it clear that should be up year-over-year from a unit's perspective because of the enlarged player base? Thank you.
BlakeJorgensen: Yes. I mean we're always assuming that if we bring new players in we can most likely increase the player base. And the future purchases. I would say right now as you can see we didn't take our guidance down for the back half of the year. We simply moved FIFA two weeks and that's as a quarterly change. So I wouldn't take any of that as a message that we have moved or changed our forecast either way. It's just still too -- it's still too early to say on that. And so more to come I think by the time we get to our second quarter earnings we'll have a much better sense of do we think guidance is going to go up or down based on where both FIFA Madden hockey, are all hockey and UFC are tracking. But we're very optimistic about all those. On capital allocation, we paused our program because we felt like at the time it was -- we didn't pause it. I'm sorry, we didn't restart a new program because we were at the end of our old program and we felt like it was not the right time to send a message both externally, as well as internally into our company that we were starting a new program. And so we got through this pandemic and had a little better feeling about how things would look in the future. And I think we're closer now. I can't tell you when we would restart a program. There is no doubt that there's commitment to have a program. It's really a timing issue and it's a timing issue driven by the COVID situation. And I think that's pretty consistent with almost every company out there. There are only a couple of companies that have started new programs in the last quarter. And so that's the answer. There's no change in our thinking. We believe we want to effectively and always be returning capital to shareholders. As you saw we had the greatest cash flow we've ever had as a company over the last 12- months. We know that we should be returning some of that locked on a large portion of the shareholders. And so expect you'll hear something from us in the future. I just can't predict exactly what's going to happen.
Operator: And your last question comes from the line of Brian Nowak with Morgan Stanley.
UnidentifiedAnalyst: Hi, guys. It's Matt on for Brian. Thanks for taking the question. So can you talk a little bit about the difference in behavior, if any that you're seeing between your users in the US and Europe? I know we spent a lot of time in the Q&A talking about potential phasing and how it's kind of obviously really hard to tell the sort of retention and behavior you're going to see on players at this stage. But to some extent some many European countries are a little bit ahead of North America in terms of where they are in reopening post COVID. So are you seeing a marked difference in the behavior of those users? Are they dropping off more? And one of your competitors talked last week about seeing weakness in Europe relative to the US. And is that something that is consistent with what you're seeing. And then I have a follow-up. Thanks.
BlakeJorgensen: Yes. What I would say is one just -- I'll let Andrew jump in here but trends are, if you see a trend for a week you should be really careful because it may not be a trend for three or four weeks. And the European economies are all going through very different swings. Spain's obviously going through another jump in COVID cases and so you want to be really careful. Also every game is different, so the trends in FIFA aren't going to necessarily match the trends in whoever the competitor was that they said was slowing or versus any other game. So I'll let Andrew jump in. He was going to say something it sounds like.
AndrewWilson: No. I would just say I would echo Blake's comment. I would also point to the performance of FIFA through our last quarter. And we saw tremendous engagement through the quarter. And I think Blake spoke to kind of a peak and that we -- we've seen some change in that, but the engagement through FIFA and our other games has been very, very strong throughout the entire quarter and continues even now to be much, much stronger than it would be typically at this time of the year. And so to Blake's point, I think, it's too early to tell what we have seen in our games is continued strong engagement. And we believe that that's because we are providing particularly the relations to FIFA in Europe that emotional connection to football that was missing and what we saw is football came back online at least somewhat in Europe is that further bolstered that emotional connection to the sport that our FIFA game was able to provide. So too early to tell but we've seen continued strong engagement even in Europe as they've -- as some of those markets have gone back online.
UnidentifiedAnalyst: Great. Thank you and then just on the topic of working from home, obviously, we're much farther in now to the process of everyone getting up the curve of learning how to operate in this environment. Have you learned anything new? Are there any changes the way that you guys are thinking about having your workforce working from home any new challenges? I know there were some public comments from some people that respond that maybe there were some challenges that they hadn't anticipated with Apex. Just any thoughts you have there. Thank you.
AndrewWilson: Yes. I would -- again, we're all, I mean, everybody on this call is working from home and there are many great benefits to working from home as it turns out. We've cut down our commute time tremendously. We don't travel as much. So we have the opportunity to spend more time with our families and in some cases, I think, we are significantly more productive in a work from home environment as it relates to our efficiency levels. At the same time, I think we would all acknowledge that there are other components of work from home that are very challenging. Home schooling is challenging, the mental and emotional well-being can be challenged if you're spending all your time in one place. I think as an organization we've remained committed to our employees. We are providing financial assistance, mental and physical and emotional assistance. We're offering flexibility in work hours wherever possible. And often offering caregiver leave as members of our employee base think about home schooling or caring for family and loved ones. I think there are a lot of things that we've learned. I don't think we'll ever go back exactly to the way things were. But at the same time, I don't think we would ever move to a place where the entire workforce was work from home. I do believe there is a kinetic energy that comes from putting creative people together in a building at least for some part of the time. And again, we are -- we're just a few months into this. As I said in my prepared remarks, we will likely, in all likelihood and what we've communicated to employers is that we'll be most of us will be work from home through the rest of this calendar year at which point we'll reevaluate. And we are being very open in our dialogue and communication with employees and to the extent that there are things that we can do to help them through this process or to the extent that there might be longer term changes that we might make. We're opening up that dialogue and having those conversations now. So not much to share at this point in terms of long-term changes other than there will likely be some. But those some probably won't involve the entire workforce staying work from home forever.
BlakeJorgensen: Yes. And the only thing I'd add to that is I just -- I remind people to go back and on net bookings our live services with $1.103 billion, up $416 million from prior year. Most of our revenue for the quarter was live services and live services are require people to be doing something every single day. We're running events every week. We're developing new characters. We're developing new content. We're changing things. We're managing security, managing monetization that is as hard as game development is the fact that we have proven in the quarter that we could show live services growth like we have. I mean Andrew and I every morning wake up and realize we are unbelievably blessed with an incredible workforce that has figured out how to do this. Because then once again as I said earlier, there's no playbook that how do you run lives, how do you run ultimate team or Apex from home. No one's ever done it and it just shows the strength of this organization and the commitment that people have to drive the business in ways that they've never thought they could. And that's pretty powerful. And so for anybody who's over indexing on us moving FIFA out of second quarter to third quarter, I just suggest go back and just think about $1.1 billion in live services in the quarter. That is amazing. And so that's why I think what we're trying to send the signal to people is we don't like the fact that we had to get here for via the COVID virus but we've proven that this is something that's really special. So with that I'll end the call and look forward to seeing everyone or talking to everyone in person maybe someday soon or maybe a year from now who knows. But we appreciate everybody's interest and time. And I know it's a busy day of earnings. So it's tough for teams. But thank you guys for your good questions as always and listening. And we'll talk to you next quarter.
Andrew Wilson: Thank you. Be well. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating and now disconnect.